Operator: Welcome to the Vulcan Materials Company's Second Quarter Earnings Call. My name is Kayla, and I will be a conference call coordinator today. [Operator Instructions] Now I would like to turn the call over to your host, Mr. Mark Warren, Director of Investor Relations for Vulcan Materials. Mr. Warren, you may begin.
Mark Warren: Thank you, Kayla. Good morning, everyone, and thank you for your interest in Vulcan Materials Company. Joining me today for this call are Tom Hill, President and CEO, and John McPherson, Executive Vice President and Chief Financial and Strategy Officer. Please note a slide presentation will accompany the prepared remarks by Management and is available via the webcast. A copy of this presentation as well as a replay of the conference call will be available following the conclusion of this call at the Company's website. Before we begin, I refer you to slide 2 of our presentation regarding forward-looking statements which are subject to risks and uncertainties. Descriptions of these are detailed in the Company's SEC reports including our most recent report on Form 10-K. In addition, during this call Management will refer to certain Non-GAAP financial measures. You can find the reconciliation of these Non-GAAP financial measures to the most directly comparable GAAP measures and other related information in our earnings release and at the end of this presentation. Now I would like to turn the call over to Vulcan's Chief Executive Officer, Tom Hill. Tom?
Tom Hill: Thank you, Mark, and thank all of you for joining us today. Let me begin by thanking our employees for their outstanding performance in the second quarter. As you all know, weather conditions were unusually bad during the quarter with prolonged wet weather and serious flooding impeding construction activity in many parts of the US. In spite of these challenges, we operated safely, served our customers well and delivered strong results. The metrics and slides we'll talk about today are largely the same as in prior quarters. We are on track to have a very good year. Our focus hasn't changed and neither has our optimism regarding continued performance improvement. Construction activity and materials demand continue to recover. Pricing momentum is accelerating, and our employees are doing a really good job converting incremental revenues into incremental profits. Despite the bad weather in many of our markets we enjoyed strong earnings growth and margin expansion on higher revenues, underscoring our confidence in our full-year outlook. With improving market conditions and our focus on profit improvements, both pricing and margins continue to expand. As you can see on slide 4, adjusted earnings per share for continuing operations were $0.66 per diluted share, an increase of $0.30 from the prior year. Although overall average shipments were lower than expected due to weather, we continue to see expanding gross profit margins and expanding EBITDA margins. As you can see, overall gross profit margins increased by more than 450 basis points. These strong margins were supported by robust pricing momentum. We experienced strong earnings growth in aggregates and in each of our non-aggregate segment. This was also accompanied by declining SAG costs as a percent of sales. In spite of the weather challenges, our people did an outstanding job taking incremental revenue to the bottom line. As we've noted before, our local teams across our footprint are doing a great job managing sales and production mix along with pricing. At the same time, we continue to reap the benefits of improving operating efficiencies and resulting leverage. Total gross profit increased 34%, and adjusted EBITDA was up 33%. Same-store shipments increased 5%, and same-store pricing increased over 6% with strong pricing momentum across most markets. Our profitability continued to improve significantly whether measured by margin percentage or per-unit profit. Now, let's look at the monthly trend of our aggregate shipments and the impact of weather on slide 5. Rain in the second quarter reduced the number of available shipping days in key markets, and it certainly postpone shipments. Slide 5 shows the year-over-year change in monthly shipments. You can see the impact of rain on shipments in April and May up only 5% and 2% on a same-store basis. In April, it was pervasive across most markets with above average rainfall in 13 of our states. In May, severe wet weather affected plant operations and construction activity in Arizona, Illinois, Louisiana, New Mexico, Oklahoma and Texas. In June, with the important exceptions of Illinois and Virginia the weather allowed for more normal days of construction activity, and shipments were robust revealing again the momentum and demand. The map on Slide 6 shows a breakdown of 5% growth in aggregate shipments across the country on a same-store basis. Even with all the wet weather the vast majority of our states experienced healthy growth. Momentum in shipments continue with solid growth in key states, same-store shipments in Florida, Georgia, Illinois, North Carolina, South Carolina, Tennessee, Texas and Virginia saw shipments growth ranging from 5% to 11%. Although California volumes were down 3%, due to several large projects that had been delayed until the second half of the year, our full-year outlook for shipments growth in California remains unchanged. In our view and that of our customers' this is demand deferred not lost. I'd like to draw your attention to Slide 7, aggregates pricing. As we've discussed before, pricing growth tends to lag volume growth. We experienced in the second quarter the initial stages of this improving pricing momentum. We are pleased with the nice increase in freight adjusted aggregates price of 6.4% in the second quarter, and we fully expect to see pricing accelerate. This is supported by the confidence we see in our customers' view of the markets. We had nine major markets where price increases ranged from $0.60 to $1.20 and another three approaching the $0.50 range. In limited instances where we didn't see such robust pricing it was a function of product mix. We experienced much larger shipments of basin pines on new construction and large projects especially in Virginia and North Carolina. Growing volume in basin pines may detract from price but improves overall profitability. Prices will escalate throughout the year as new prices are initiated and as we finish older jobs. At this point, we also expect second half price increases to exceed 8%. Pricing momentum for Vulcan will continue. We are focused on earning a good return on the significant investments that we in this industry make on behalf of our customers. We talk a lot about the three profit drivers that are expanding our margins and profits, because they are important. On Slide 8 you can see that our second-quarter and trailing 12 month gross profit per ton increased 21% and 23% respectively. So in the quarter, price was up $0.71 per ton, but gross profit margin was up $0.76 per ton. Our sales and operations team continue to do an outstanding job turning demand into higher profitability. Nobody in the business does a better job of managing the combination of price, operating inefficiencies, volume and products. We continue to be excited about the ongoing very positive trend in unit margin expansion for Vulcan. It's not a new story. As you can see, on Slide 9 we have now seen eight consecutive quarters of expanding unit margin. Since our volumes began to grow in the second half of 2013 our gross profit per ton has increased sharply, and we are now seeing the additional benefits of strong and ongoing improvement in pricing. Our unit profitability is higher than when these operations we're producing twice the volume. In the most recent quarter we saw an increase in repair maintenance and labor costs. This is not surprising. Growing volumes are requiring us to run our operations longer resulting in more repairs, and wet weather negatively impacts labor inefficiencies. This is something that we will be managing very carefully even as we see pricing momentum and continued unit margin expansion that more than offsets these costs. Even though we are still in the early stages of recovery, we are very pleased with this momentum. Demand for our products continues to escalate, and I am extremely proud of the way our people are focused on unit margin growth. Slide 10 shows our incremental margin performance in our aggregate segment. Incremental gross profit margin for the second quarter was 74% excluding the impact of acquisitions completed during 2014. Aggregates gross profit grew by $44 million on incremental freight adjusted revenues of $59 million. Including the impact of acquisitions, the incremental margin was 61% with a gross margin on those revenues impacted by acquisition accounting and weather. Since quarterly figures can be distorted by seasonality or one-time costs we also present the same metric calculated on a trailing 12 month basis. For the trailing 12 months that ended this quarter, incremental gross profit margin was 72% adjusted for the same acquisitions. Aggregates gross profit increased approximately $157 million on incremental revenues of $219 million. Given our strategic focus on the aggregates business our ability to take that revenue to the bottom line is a big advantage to Vulcan as volumes continue to recover. With that, I will now turn the call over to John for additional comments regarding our earnings performance and outlook for the remainder of the year. John?
John McPherson: Thanks, Tom. I'll start with Slide 11 which effectively serves as capstone to many of the metrics and trends Tom just highlighted. On this Slide, we summarize the improvement in our aggregate segment results since the recovery in volumes began in the second half of 2013. Before the recovery began, our annualized aggregates volumes troughed at 140 million tons. That was two years ago. As of the quarter just ended our trailing 12 month shipments are 170 million tons. So we've added 30 million tons of aggregate shipments on an annualized basis. This gain reflects a sustained early recovery but remains well below the shipments we'd expect under normal demand conditions. Now, importantly we've been able to increase segment gross profit by just over $260 million during this two-year period with per ton gross profit increasing more than $1 or over 40%. Certainly a central part of our strategic and operational focus remains on sustaining these trends and fully capitalizing on the continued recovery toward normal levels of demand for the materials we provide. Now let me turn to Slide 12 to briefly look at our asphalt and concrete segment results for the quarter. These businesses also performed well in the quarter especially given weather related challenges in Texas, Virginia, Arizona and New Mexico. Our local management of these operations continues to service customers well while also effectively managing material margins. And segment results for both asphalt and concrete have benefited from recent transactions that better focus our asset portfolio. Year-to-date the gross profit from these businesses has exceeded plans despite weather related challenges. Looking at the asphalt segment, you see the gross profit for the quarter was approximately $21 million, a year-over-year improvement of $12 million driven by strong cost disciplines and margin management as well as the impact of acquired operations. On a same-store basis, asphalt volumes increased 8% from the prior-year, and unit profitability increased sharply. In looking at the concrete segment, you see second quarter gross profit was approximately $5 million compared to $3 million in the prior year as margin improvements helped offset the impact of work deferred due to weather including a record wet June in the Virginia, Maryland area where we have our largest concrete operation. Moving now to capital allocation, Slide 13 highlights certain second-quarter actions and updates consistent with our previously communicated capital allocation priorities and capital structure goals. These priorities and goals have not changed, and we continue to work diligently against them. First, we continue to make the CapEx investments necessary to sustain the long-term value of our franchise and to meet our customers rising requirements. Our core CapEx spending for the year remains in line with prior communications at approximately $250 million. In addition, we've committed to replace two of our three Panamax-class ships which transport product from our high-volume quarry in Mexico. The vessels being replaced have over 30 years of service each, and the advantages of our Bluewater distribution network easily merit the investment. We expect progress payments on the construction of the new ships to be approximately $36 million this year with another $85 million spread across 2016 and 2017. Next, we intend to maintain our financial strength and flexibility at all parts of the cycle. Consistent with this goal we've now completed the major components of the refinancing plan outlined during our February investor day and discussed at length during our first quarter call. These accomplishments include extending maturities on approximately $620 million of debt otherwise due over the next five years, establishing a new $750 million unsecured credit facility, and lowering our average weighted -- or lowering our weighted average interest rate. Our second quarter results include $45 million or $0.24 per diluted share of expense associated with this activity. In addition, we took steps in the second quarter to streamline our corporate legal entity structure. These actions improve our flexibility and reduce certain should of burdens, for example, significantly reducing the number of state income tax filings we prepare. We expect another outcome to be a more appropriate and efficient allocation of interest expense and overall taxable income across the states in which we operate. We currently anticipate a $3 million to $5 reduction in the annual state tax expense or an approximately 100 basis point reduction in our overall effective tax rate for 2015. In addition, we may be able to utilize over time all or a portion of approximately $60 million in state level NOLs which may otherwise have expired unused. Next, we continue to pursue bolt on acquisitions. During the second quarter for example we acquired three aggregates facilities and seven ready mix operations in Arizona and New Mexico for approximately $21 million complementing our existing positions in those markets. The pipeline of bolt on acquisition opportunities remains active. But we will remain a disciplined buyer, and as such the number, size and timing of future transactions remains difficult to predict. As our performance improves, so does our capacity to return capital to shareholders. We continue to believe that we will have the ability to both reinvest for growth and return capital to shareholders as the recovery toward normal demand unfolds. Now let me take a couple -- now let me make a couple of comments about end markets and then our outlook for the balance of 2015 before handing the call back to Tom for some closing remarks and Q&A. As Tom noted earlier, and as you can see reflected in our Q2 results, construction activity continues to recover in Vulcan served markets, although it remains far below long-term trend levels. Looking through the weather and the noise in Congress, we and our customers continue to see gradually improving demand in each of the major end markets we serve. Shipping rates on clear days underscore our recovery demand across geographies and across end uses. With few exceptions, construction activity in our markets remains well below long-term through cycle trends, but the recovery continues. That would be the main message here. Now to touch briefly on some of the underlying trends in private and public construction. With respect to private demand we continue to see manufacturing and other industrial related projects contributing to significant nonresidential construction growth. And as you probably know, housing starts despite month-to-month volatility continue to trend upward across most Vulcan served markets. On the public side, large projects have driven recent strength in Highway awards. State and local level funding initiatives support continued growth in road and other infrastructure spending particularly in the intermediate term. At the federal level, we remain optimistic that a multiyear bill may pass sometime in the fall. Tom will have more to say on this in a moment, but the need for a meaningful multi-year program is understood on both sides of the aisle, and recent developments have been well covered in the press. So to the extent we harbor modest concerns regarding our full-year 2015 volumes relative to plan, they primarily relate back to first half weather and the capacity of our customers to complete deferred work during the remainder of the available construction season. In several of our markets, key customers find themselves six or more weeks behind on scheduled work, and they face short-term challenges in adding the capacity required to catch up. In addition, the extension into the fall of uncertainty regarding the federal Highway program may impact the start date and timing of shipments to certain road infrastructure projects. Again, the marginal risk we see to 2015 shipment is one of timing and potential deferral into 2016. Now I'll turn briefly to Slide 15 and our outlook for the balance of the year. As noted in our earnings release, our full-year EBITDA guidance range remains unchanged at $775 million to $825 million, this despite the weather related challenges of the first half of the year. In short, we anticipate better than expected pricing and margin momentum to offset a potential shortfall in 2015 shipments relative to plan. The continued improvement in pricing and unit margins matches our strategic focus and bodes very well for the longer-term performance and value of our franchise. I'll now touch on certain of the modest adjustments we've made to assumptions underlying our full-year EBITDA guidance. As stated previously, please view these figures as indicative midpoints of our range of expectations. We want to give you a good feel for how we see the business performing, though we don't want to convey a false sense of precision regarding each and every metric. With respect to aggregates shipments, we've reduced our midpoint expectations for the year from 180 million tons to 177 million tons. This change reflects the challenges many of our customers face as they try to catch up with deferred work, the longer than expected ramp ups in production at certain of our acquired operations, and marginally higher uncertainty regarding start dates and shipping pace for certain large projects. Our fundamental view of the continued gradual recovery and demand remains unchanged. With regard to aggregates pricing, we've raised our midpoint expectation for year-on-year growth from 6% to 7%. As Tom noted, pricing fundamentals are strong and getting stronger in many markets. We expect the rate of improvement in the second half to exceed that of the first half. At this point, we would expect these pricing trends to continue into 2016. Due to the potential shortfall in 2015 shipment volumes, we have slightly reduced our midpoint expectation for aggregate segment gross profit. We expect the rate at which incremental freight adjusted revenues flow through to incremental gross profit to remain roughly in line with recent trailing 12 month trends. Our asphalt and concrete segments have also seen rising profitability both on a same-store basis and as a result of recent acquisition, divesture and swap activity. As a result we raised our midpoint expectation for full-year gross profit from these segments from $70 million to $80 million. Our expectations for SAG, DD&A and CapEx remain largely unchanged. All in all, our businesses enjoy strong momentum in volumes, pricing, margins and capital productivity. Our teams are executing well, serving our customers well and focusing on what they can control. The underlying fundamentals of our business remain very exciting. With that, I will turn the call back over to Tom. Tom?
Tom Hill: Thanks, John. As John stated it we are confident in our full-year outlook. We are pleased with our team's performance in the second quarter despite the challenges of extreme weather. Our markets continue to improve in each market segment and across most of our geographic footprint. This growing demand is causing pricing momentum to pick up robustly which is clearly demonstrated in the second quarter results. I am confident in our employees' ability to execute on the disciplines of operating efficiencies that drive cost control and customer service that drives value and price all of which improve our unit profitability. We are very proud of our employees' hard work and dedication. We are also pleased with the level of activity on the Highway bill in Congress over the last two weeks. This culminated on July 30 in the Senate's passage of a new six-year bill the Drive Act. The Senate and house also last week passed a three-month extension to Map 21, the current bill. This will allow the house time to complete work on its version of the new bill. House and Senate leadership has stated their intention to go to conference with their respective bills and send a new, multi-year built to the President for his signature in the fall. This gathering momentum in Congress to address federal highway investments coupled with growing initiatives to improve roads in many states is very encouraging. We along with many other transportation stakeholders will continue to press for additional much-needed investments in America's aging infrastructure. As we look forward to the balance of 2015, and into 2016 we are excited about the accelerating momentum and demand in pricing and the improving execution by our employees. They are finding new ways to improve this Company and our profitability every day. Now, if the operator will give the required instructions, we will be happy to respond to your questions.
Operator: [Operator Instructions] And our first question comes from Trey Grooms from Stephens.
Trey Grooms: Good morning, guys.
Tom Hill: Good morning, Trey.
Trey Grooms: Tom, you mentioned accelerating demand. I was wondering if you could give us a little bit more color around what you are seeing in specific geographic markets now that the weather has started to cooperate. If you could kind of give us an idea more specifically there.
Tom Hill: Overall we are seeing growth in all market segments as I stated and in the vast majority of our geography. About half of our individual markets we think will experience double digit growth this year. So all across the board we are seeing strong demand. Texas is probably the hottest market we have even with the impact of weather we saw same-store shipments volume up 8% in Texas. Florida continues to be extremely healthy. I think we were up some 11% in Florida for the quarter; Georgia very, very healthy. And actually Georgia got hit a little bit with weather, but there's -- that demand is just pushed back, and every time the sun comes out in Georgia, where shipping very strongly. So overall everything is -- the vast majority of the market is going well. If there is a spot that was a little behind the rest of the country I would say it was Alabama, Mississippi, that area. As I stated, California while the second quarter was a little slow because we had some jobs pushed back, and it may be a little bit behind the rest of the country, overall its demand growth is steady.
Trey Grooms: Okay, great. Thanks for that color. You guys have been putting up some really good incrementals, great unit margins continuing to improve. Just wondering at what point -- I know John mentioned again, touched on the mid-cycle demand expectation of 250 million tons or so. At what point in this recovery coming off of 170 LTM tons do we start to see these incrementals start to slow down some or subside a little bit and maybe the unit margins start to slow with the growth there or improvement?
John McPherson: I think as we talk about these same operations in the peak would've done 300 million tons, we're sitting at as we said 177 million so -- and we said norm was 255 million, so we've got a long ways to go before we start looking at any reduction in incremental revenue -- in incremental returns.
Tom Hill: Trey, all I would add is that while in a few areas we are seeing some rising costs -- some trends in rising costs we are able to manage those so far. You see that in our margin performance. Our operator to local teams did a fantastic job. We don't see any immediate or near-term change in the recent trajectory but I would reiterate that our more long-term, through the cycle commentary and guidance on flow-throughs, is more on the order of 60% than the recent trends you've seen. But that said, don't take that as a signal that we expect some eminent decline in recent performance.
Trey Grooms: Understood. And then on asphalt, very strong, the incrementals and the margins there tracking well above our expectations. Is there anything going on in the quarter there? Do you expect these trends to continue in asphalt?
John McPherson: As the asphalt segment was up some $12 million, $9 million of that was on -- without the same-store basis. $3 million was the acquisition. So we are pleased -- you've got to remember a lot of that asphalt is in Texas, New Mexico, and Arizona so they did have the headwinds of weather, so we're very pleased with our operating group being able to deliver value to our customers, manage material margins and operating costs and give customer service with all of that rain. That's tough to do. On top of that, the $3 million that improvement due from the recent acquisitions, we believe that that's a sign those have been integrated well and quickly. In those -- in that, we've got a lot of talent, that we are glad to add to the team. Both the same-store and the acquisitions we're pleased with performance. I don't see anything in this that would slow that down at this point.
Trey Grooms: Thanks a lot for the color. Good luck.
John McPherson: Trey and for others, just to remind people folks newer to our business, we tend to earn pretty good returns on capital in the asphalt segment through the cycle and over time, so we are pleased with those investments.
Operator: Our next question comes from Kathryn Thompson from Thompson Research Group.
Kathryn Thompson: Hi, thanks for taking my questions today. First, is a clarification from acquisition contribution in the quarter both on a top line and a EBIT or operating margin -- operating earnings contribution. You may have had this but I may have missed it. How many tons of aggregates were acquired?
Tom Hill: I think that the tonnage in Q2 from acquisitions was a little north of $1 million. If you look at the overall performance of our acquisitions, we are pleased with it. We had slightly higher costs that was due to two things. Remember a lot of those were in Oklahoma, Texas, New Mexico and Arizona, again, the weather issue which both dampened shipments and hurt us on cost. We also recognized in a couple of those operations that with some capital and some modifications, we could greatly improve our long-term product offering, quality of our products, and operating efficiencies. So you had those modifications in the first half of the year. I think those are starting to come -- we'll see the fruits of those probably in a quarter or two. But overall, I think we're pleased with it. We are on track to hit the plan that we had for EBITDA of $40 million to $50 million, and I think my folks have done a good job with the integration.
John McPherson: Kathryn, just as a reminder for everyone, we acquired not only some aggregates operations but also some good asphalt and concrete operations. So in total for the quarter the revenue from those operations was approximately $50 million. As they get ramped up and as we put some additional costs into them as we ramp them up and I'd say ramp them up and as Tom mentioned hit some particular product needs of particular customer groups, the EBITDA contribution in the quarter was about $11 million year-to-date. About $16 million from those acquisitions and generally on track as Tom said with our expectations.
Tom Hill: Let me correct one thing. That volume was just north of $1.4 million, I misspoke, in aggregates.
Kathryn Thompson: Helpful color on that. In terms of aggregate pricing. We always understand since it's a local market, and it's -- also pricing can be vary widely according to geography and then also to mix. With that in mind, do you -- two-part question. One, with pricing accelerating as the year progresses, how much of this is a function of higher magnitude price increases versus a greater mix of higher priced markets finally gaining pricing? Thank you.
Tom Hill: I think in all pricing was up in all markets except for Virginia. And that was really a mix issue. We had some very large sales of base and fines which as we say is a good thing. We like that. It actually improves our profitability. We are seeing robust price increases in most of our markets. I'll give you a little flavor on that. If you looked at South Carolina, Arizona, Alabama, we saw price increases from $0.40 to $0.50 in the second quarter. In the middle of the country which would be Tennessee, Kentucky, Arkansas and Illinois, we saw price increases in the $0.60 to $0.75 per ton range. And then we saw in a few markets we saw some very marked price jumps in the $0.80 to $1.20 a ton range in California, Florida, Georgia and Texas. But overall our -- it's still a local business, and our local teams are working hard to make sure we deliver value and quality and service to our customers. I think we have a lot of confidence that the pricing momentum is across all markets, and we feel good about it at this point.
John McPherson: Kathryn, I think those are the most important points. We haven't had much tailwind to pricing at based on geographic mix if that was your question. It's more prices across many, many markets improving.
Kathryn Thompson: That was just to the point I was going to follow up on. Given you haven't seen a tailwind from geographic mix and you are also flowing through costs from acquired assets, you should see theoretically, all things equal, improving incremental margins as the year progresses.
Tom Hill: All things being equal.
Kathryn Thompson: Absolutely understood.
Operator: Your next question comes from Ted Grace from Susquehanna.
Ted Grace: Hey guys, congrats on a nice quarter.
Tom Hill: Thank you.
Ted Grace: I was hoping to follow up on Trey's question first on the demand side. Mother Nature wiling, we've got three to four months left on the construction season. To the degree you are comfortable framing out how you're thinking about the out year, it would be great just to get a sense for what the leading edge indicators are that you're looking at, how quoting activity seems this early looking out into 2016 kind of maybe quarterly business review highlights. Anything you can point to on that front that would be helpful handholding.
John McPherson: Ted, this is John. Why don't I give a couple of numbers just to lay out a couple benchmarks maybe and Tom will add some additional market color in terms of what we're seeing from customers. All in all, we estimate that we've had about 4 million tons of aggregate shipments to start there deferred out of the first half. You can tell that we expect to catch up maybe about 1 million of those in the balance of the year, just by the change in our indicative guidance. A lot of that will, as you said, depend on Mother Nature and how long the remainder of the construction season is. And it really depends a good bit on how well many of our customers, and Tom can comment more, how much capacity they can add, and how much work they can just get done. To give you a rough sense of the 4 million tons we have seen deferred on the first-half roughly we'd expect to catch up about 1 million tons of that in the second half. That is less a function of any demands concern and just more a function of the time and capacity of our customers to get their work completed.
Tom Hill: I think well said. Ted, as you said we probably have four months of solid season left. It will come down to constraints from contractors. Can they get in to get the job? How many ready mix trucks can they get? How fast can they get crews laying asphalt? But overall, remember this is work that we see if we don't get it in the third quarter, fourth-quarter this year it will follow in the first or second quarter of next year. So it won't go away. It's just postponed. And it's very normal when we have this kind of weather to see it push back, and when the sun comes out we are shipping hard.
Ted Grace: Okay. So, maybe asked a little bit differently, if we were to think about the comments on a gradual recovery, normal recovery, would it be fair to think, at least the way you're thinking internally, is growth rates of end markets in 2016 could approximate 2015? Anything you might share on that end?
John McPherson: Ted, we haven't giving any guidance, obviously, and we will do that at the right time but there's nothing -- overall across what is a fairly diversified geographic portfolio for us, we don't see anything at this point that would indicate a slowing momentum heading into next year.
Ted Grace: Okay. That's really helpful.
John McPherson: There are always state specific issues, right? But across the portfolio in total, although we're not giving guidance, we don't see any decline in momentum.
Ted Grace: That's helpful. The second point of clarification, could you give us a bridge on EBITDA 2Q 2014 to 2Q 2015 -- I know there pricing is a tailwind, volumes are tailwind, energy is a tailwind, acquisitions are tailwinds. Can you just maybe help bridge it so we can understand the headwinds more granularly. I know R&M, labor was up, SG&A, a bridge there would be great, and I'll get back in queue.
Tom Hill: Really I think the only headwind that we saw was probably (inaudible) was costs in the quarter was slightly higher. Labor costs, and I mentioned R&M were up. The labor piece, weather causes inefficiencies in the stone operation, actually ready mix and asphalt also, but -- so weather affected labor. It also affected the rest of our operating efficiencies and tons per gallon of fuel and electrical power. We are also beginning to run our plant with increased demand. We're starting to run our plants a little harder and longer. When you start to do this to start finding a few weak spots in the fixed equipment. We also took the opportunity in the second quarter when we were down to do repairs so R&M costs was up. But if you look at it from a longer-term view, our year-to-date cost is down about $0.10. On a same-store basis it's down $0.16, trailing 12 month is down $0.22. But the disciplines in operating efficiencies and operating costs is something that everybody focuses on every day. It is something you just got to stay on top of, or it will get away. I think our people are very focused on the things they control and the efficiencies in those operations. The headwind that I saw in the quarter was really one of cost and it was a mix of R&M and weather-related inefficiencies.
John McPherson: Ted, if it helps at the gross profit line we basically as Tom was describing had a wash between some diesel benefits we had and other cost increases. So on a per unit basis that was cost structure basically a wash at the gross profit line so really the biggest bridge, if you will, of course, gets back to volume. And again if we had 4 million tons deferred out of the first half of aggregates we would estimate that's about a $35 million impact or so plus or minus at the EBITDA line. But the biggest factor in the quarter -- the costs were ultimately a wash, managed well. Volume of course is a headwind. If that's helpful.
Ted Grace: I can get more into that offline. Thanks and best of luck this quarter, guys.
Tom Hill: Thank you.
Operator: Your next question comes from James Armstrong from Vertical Research Partners.
James Armstrong: Good morning, thanks for taking my questions. Congrats on a good quarter. My first question, a follow-up on the asphalt segment. How much of the incremental operating margin was impacted due to oil prices, and if oil was a significant part of that, do you believe that you'll have to pass on some of that as the year progresses, or will you be able to maintain those margin levels for the remainder of the year?
Tom Hill: There were definitely tailwinds with oil, but I think you have to look at it to separate that out when you're running over 50 asphalt plants and across the whole Southwest is really difficult to do. It's really a matter of managing the usage of oil with recycled asphalt products, recycled shingles each mix design maximizing it out and then maximizing operating efficiencies and the costs just to run the operation along with sales and service and value and price. So I think to try to separate that out is pretty tough to do. As far as giving that back, giving back any savings on oil, we don't see -- we don't see that -- those headwinds at this point. You don't know that for sure, but I think that right now we're pretty confident in our ability to manage the combination of customer service material margin operating costs and continue what we're doing today.
James Armstrong: Thank you. And then on the aggregate segment as we go into the back half of the year, have the regions in which you are seeing pricing momentum changed from what you saw in the first half of the year, and can you detail that a little bit more for us?
Tom Hill: I don't know that anything has changed as far as the momentum we see in the pricing. Obviously, the margins that are more mature in the recovery margins because price lags volume are seeing the bigger jump in pricing. But overall I think the trend is pretty steady. I think it will continue. Not only is it steady, but it will continue to improve as we go forward and as we said earlier, we'll be back half loaded with a price improvement.
John McPherson: The range varies substantially across markets but I think to come back to what Tom said, I think all of our states saw pricing increase in the same-store basis at some level. So a trend if we went back a few quarters would be that it's broadening. The rates vary substantially across states, but the trend would be that it's been broadening.
James Armstrong: Okay, that's helpful. Thank you.
Operator: Your next question comes from Timna Tanners from Bank of America Merrill Lynch.
PT Luther: Hi, John, it's actually PT Luther in for Timna today. You made some pretty universally positive comments in terms of demand trends. I just wanted to check and see if you are seeing much leakage just from the weaker energy markets in any of your -- among any of your customers maybe in LNG projects things like that.
Tom Hill: If you look at the energy projects along the coast, the LNG projects, the refinery projects we are actually seeing that continue to pick up. My guess is we'll ship over 2 million tons to that segment on the coast. Remember, the reason why we are so advantaged with our blue water delivery to those projects require big volumes by water in a short amount of time. So if you put that over 2 million to 2.5 million tons this year I would tell you that next year for what we know right now we will -- and this is what we have probably under contract we'd be just south of 2 million tons. Is probably on the drawing board another 8 million tons in projects that are out there that haven't bid, they are still in the permitting or planning process. So no slowdown in the energy projects along the coast.
PT Luther: Great. Thanks. In terms of the pricing momentum you're talking about in the second half, is that primarily from price hikes that you've already implemented and announced in the first half? Or does some of that assume some additional price hikes in the second half as well?
Tom Hill: As we always say, our pricing is across dozens of markets, so each one is individual. Then you've got, within those markets, you have fixed plants where you have got price increases that come at all different times of the year. And then you've got quoted work which you are pressing price with each quote, each week. So, it is a combination of what we've secured, pricing that will quote higher in the second half and then announced price increases in the second half. And then you are also working off of old work, so you've got to put all that into the mix and again you've got to aggregate all those pricing movements across all those markets.
PT Luther: Great, that's helpful. Thanks again.
Tom Hill: Thank you.
Operator: Your next question comes from Garik Shmois from Longbow Research
Garik Shmois: Hi, thank you and congratulations. First question is on diesel had a nice benefit here in the second quarter. Coming into the beginning of the year we thought there could be potential upside because of diesel savings. Just wondering how you're thinking about diesel costs in the back half of the year as it relates to your overall EBITDA guidance.
Tom Hill: I think if you look at our guidance, this goes into individual operations, and so there is diesel savings built in from a ground-up perspective in the second half of the year. There's also built into that is labor costs and repair and maintenance costs and operating supply and parts. So I think when you put all that together if you look at our guidance we do have diesel built into it.
Garik Shmois: Okay. Thanks. I guess it's fair to assume that some of the other costs you've mentioned will partially offset.
John McPherson: I think that's the right way to think about it, Garik, I don't know that we're the world's best to predicting future diesel prices and those kinds of things, but we will begin to comp over, if you will, lower costs as we get into the third and fourth quarter. So I think you summed it up well which is, we would expect to continue to manage to improving margins in the second half in total, and underneath that is a mix of several factors probably a little help from diesel costs, probably a little bit higher repair and maintenance costs than we have seen in the past.
Garik Shmois: Makes sense. Shifting to capital allocation, you mentioned think it was $30 million or so to update your Panamax fleet. Just wondering if this is in relation to any sort of capacity addition that you are undergoing in the Cancun facility and if we should anticipate increased volumes coming out for your long-haul operations?
Tom Hill: These are specific replacements for the ships that we started that operation with. So those ships are some 30 years old. It's time for them to retire for all kinds of reasons. Now what we will get in the new ships is, with technology, we'll have a little more payload. We'll have much better fuel efficiency's and probably a little better speed out of the ships, so we'll get better efficiencies, but the bottom line of that is those ships are replacements.
Garik Shmois: Okay. I'll ask the highway bill question. You sounded pretty optimistic in your prepared remarks around a new highway bill. Just wondering, it's early, but if you could provide some thoughts on if we do get a multi-year bill towards the end of the year potentially what kind of volume opportunity would that imply for aggregates demands moving forward?
Tom Hill: I don't know that we put a number to that, because we've got so many unknowns in that highway bill and what does it mean. We have not at this point. The one thing I will say is that a long-term bill, even at the funding we have today, is a good thing for us. Because it gives security to those states so that -- we've got a number of states that are pushing back big jobs because they don't have security that they're going to get paid by the federal government. So worst-case if we get flat funding with a long-term bill we look at it as a very good thing. At the same time, we've got a number of states which have already substantially increased their funding, and we have a number of very key states to us including California which are looking at ways -- recognize that they have to increase their funding and are taking steps towards that. So overall, with the steps that the Senate is taking and that the house is taking we're pleased with it. We've got high hopes for it. We think we've got a lot of momentum. And on top of that you've got the momentum of improving state funding or the recognition that state funding has to increase.
Garik Shmois: Got it. Thanks again.
Tom Hill: Thank you.
Operator: Your next question comes from Jerry Revich from Goldman Sachs.
Jerry Revich: Hi, good morning.
Tom Hill: Good morning.
Jerry Revich: Just to continue the discussion on the regulatory side. California is in session, or the legislature is in session about potentially increasing state highway funding. How optimistic are you that something goes through and what's your sense on where that process stands now? [Multiple Speakers]
Tom Hill: Let me give you a little background on California. Their highway bill right now is at about $11 billion annually. If things stay status quo, they've cut that to about 5% to about $10.5 billion. They recognize that they have to take steps to not only keep that whole but to improve it. There's Senate Bill 16 which is out there right now which would increase it by another $3 billion. It is too early to give you a guess on that at this point or a prediction. I think the good thing is that they recognize that they have a shortfall. They're going to have to address it, and they are taking steps for it. Of there's any place that needs roads, California sure does. They do recognize it, and the leadership there is taking steps to improve it.
Jerry Revich: What's your sense on timing? How do you expect it to play out what are the negative --
Tom Hill: Too early to tell. I think it's too early to tell. I wouldn't take a guess at it at this point.
Jerry Revich: In the press release you highlighted stripping costs just naturally in mine plans evolve as companies get price increases. Can you just counsel us on how to think about stripping costs over the next couple of years? How much are you changing mine plans as pricing is picking up here?
Tom Hill: I don't know that were changing mine plans with pricing. That wouldn't drive a mine plan. It's really based on the long-term operations of a quarry. Obviously as volume goes up you just have to strip more because you have your producing more tons. I think other times, as we are opportunistic when we strip, so it may be that when we are not running operations for whatever reason we take the crew and equipment and go strip because is it's just good sense and good use of costs. But overall, I don't see -- price doesn't have an impact, volume obviously does, because you just have to strip more with more volume. And in each individual mine, it's based on what that operation has to do for the long-term. We're running these operations for decades, not a few years, so -- and stripping is the big part of the long-term planning.
Jerry Revich: Alright, thank you.
Tom Hill: Thank you.
Operator: Our final question comes from Adam Thalhimer from BB&T Capital Markets.
Adam Thalhimer: [Indiscernible] Thanks.
Tom Hill: Good morning.
Adam Thalhimer: John, I think you said for this year -- you did say for this year up 7% price you were previously saying up 6%. I thought I heard you say that that level of pricing growth is a good number for 2016 as well. Is that right?
John McPherson: I think what we said -- I wouldn't put down a specific level, but we currently see this kind of pricing momentum continuing into 2016. It's not just -- this is a more structural trend in our business. It's not a one or two or three quarter trend. But not trying to give you guidance for any specific number for 2016.
Tom Hill: Let me add a little bit to that. I think it's more about momentum. And you are seeing -- we told you that price was going to follow volume. And that as volume continued to grow, pricing would grow behind it. And that was very apparent in the second quarter. I think as we continue to see volume grow, you will continue to see pricing momentum grow. Not just the percentage, but overall pricing will continue to accelerate.
Adam Thalhimer: You gave a good breakdown of volume by month in Q2. I'm just curious whether you can share figures for July.
John McPherson: No, we're not -- we can't give guidance at this point on that.
Adam Thalhimer: Worth a shot. And just in general it feels like volume -- it feels like you've been a little conservative with the volume expeditions in the back half. I guess you're assuming that 3 million tons are either lost because of the weather or maybe push to 2016?
Tom Hill: I think for sure they are not lost. Those jobs are not going away. Our customers have a backlog and are going to do the work. It's really a matter of if you look at hundreds of jobs and even the fixed plant with hundreds of jobs, can they get on that job? Can they get it all done in the compressed amount of time they have to do it in the construction season 2015? So if they don't get it done, it will push back into first quarter, second quarter of 2016. If you look at asphalt for example, asphalt and our ready mix plant is do they have the plant capacity and the truck capacity to catch up from where they are? Again, it's not lost. If it doesn't happen in 2015, it will happen in 2016. As I said earlier, this is really normal for when we have severe weather like this. We'll do the work. It's just a matter of timing.
Adam Thalhimer: Okay. Thanks, Tom.
Tom Hill: Thank you.
Operator: And that is all the time we have for questions today. I'll now hand the call back over to Tom Hill, President and CEO, for your closing remarks.
Tom Hill: Thank all of you for your interest in Vulcan Materials Company. We are proud of our second quarter, and we look forward to talking to you throughout the quarter. We'll talk to you then. Thank you.
Operator: This is the end of today's call. You may now disconnect.